Operator: Good day and thank you for standing by. Welcome to the Insight Enterprises Incorporated Second Quarter 2021 Earnings Conference Call. At this time all participants are in listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today Ms. Glynis Bryan, Chief Financial Officer. Please go ahead.
Glynis Bryan: Thank you, Pasha. Welcome, everyone and thank you for joining Insight Enterprise’s earnings conference call. Today we will be discussing the company's operating results for the quarter ended June 30, 2021. I'm Glynis Bryan, Chief Financial Officer of Insight and joining me is Ken Lamneck, President and Chief Executive Officer. If you do not have a copy of the earnings release and the accompanying slide presentation that were posted this morning and filed with the Securities and Exchange Commission on Form 8-K, you will find them on our website at insight.com under our Investor Relations section. Today's call including the question-and-answer period is being webcast live and can be accessed via the Investor Relations page of our website at insight.com. An archived copy of the conference call will be available approximately two hours after the completion of the call and will remain on our website for a limited time. This conference call and the associated webcast contain time sensitive information that is accurate only as of today, August 5, 2021. This call is a property of Insight Enterprises. Any redistribution, retransmission or rebroadcast of this call in any form, without the expressed written consent of the Insight Enterprises is strictly prohibited. In today's conference call, we will be referring to non-GAAP financial measures, as we discuss the second quarter 2021 financial results. When referring to non-GAAP measures, we will refer to such measures as adjusted. Non-GAAP measures to be discussed in today's call include adjusted selling and administrative expenses, also referred to as adjusted SG&A, adjusted earnings from operations, adjusted earnings before interest, taxes, depreciation and amortization. Also referred to as adjusted EBITDA, adjusted diluted earnings per share, including the benefit of the note hedge on our convertible debt and also adjusted return on invested capital. You will find a reconciliation of these adjusted measures to our GAAP to actual GAAP results included in the press release or the accompanying slide presentation issued earlier today. Also, please note that unless highlighted as constant currency, all amounts and growth rates are discussed in U.S. dollar terms. As a reminder all forward-looking statements that are mentioned in this conference call are subject to risks and uncertainties that could cause our actual results to differ materially. These risks are discussed in today’s press release and in greater detail on our most recently filed periodic reports and subsequent filings with the SEC. With that, I will now turn the call over to Ken and if you're following along with a slide presentation, we will begin on Slide four. Ken?
Ken Lamneck: Thank you, Glynis, good morning and thank you for joining us today to discuss our second quarter 2021 operating results. I want to start off by thanking our teammates for the Harmony, Heart and most notably the Hunger they've shown through the first half of the year. Through these values were executed in the strategy that will help us and our clients accelerate as it is terminology of tomorrow. While supply constraints continue to be a challenge during the quarter. We remain focused on executing our financial and operating priorities for the year and supporting our clients inventory needs. During the second quarter, I'm pleased to report that our business saw double-digit top line growth across all major categories of net sales. Gross margin was 16.4% strong performance given compression on margins due to increased hardware net sales. Adjusted earnings from operations increased 6% and drove adjusted return on invested capital to 13.6%, up from 12.1% in the second quarter last year. Hardware booking trends continued strong throughout the second quarter, given the ongoing supply constraints and longer lead times required for hardware orders, or supporting our clients to help them forecast their inventory needs ensuring they're well positioned in the queue for fulfillment in the amounts necessary to meet those needs. As a result, we exited the second quarter with further elevated backlog from levels at the start of the quarter. We expect about 50% of this backlog will ship in Q3. We're pleased to see the pipeline for future sales builds and healthy levels for the second half of the year and into 2022. Clients continue to focus on this business agility and continuity by leveraging cloud solutions. Our clear strategy and deep expertise in delivering digital solutions, allowed us to grow cloud sales, SaaS and infrastructure as a service, high double digits in the quarter. This drove cloud gross profit to 22% up more than 300 basis points year-over-year for the trailing 12 months. We're happy with our team's continued operational execution in the second quarter and our visibility in the second half gives us confidence in guiding net sales at the high-end of our range as well as increasing our EPS guidance. As we help companies shift to cloud-based solutions and modernize their infrastructure, we're also engaged in discussions around finding solutions that help clients incorporate emerging technology into the business operations. We believe these companies that maximize the value of IT and data will emerge as the new leaders as the business and technology landscapes have drastically changed over the past 15 months, we've been well positioned to address the greatest needs of organizations to help them make sense of operations such as accelerating the intelligent edge, and using artificial intelligence or AI, and the Internet of Things to scale and leverage data to drive real-time decision-making, which is essential to achieving growth, cost savings and market differentiation. Recently we were named NVIDIA 2020 software partner of the Year. As an advanced technology partner, we use their technology to support organizations and utilizing deep learning to gain a competitive advantage. Our technical consultants and engineers help clients modernize their infrastructure to support cutting edge AI, machine learning and deep learning solutions tailored to individual client needs. One example of a type of AI that allows computers to understand and label images is computer vision. Computer Vision uses advanced analytics to analyze, understand and respond to digital images. Each solution is tested and validated at our in-house AI proof of concept lab, utilizing the client's data sets in the latest generation of AI ready platforms, including the Nvidia DGX system to reduce risk and ensure smooth deployments. If you recall, we were recognized in Q4 2020, as the Forrester New Wave for Computer Vision consultancies as a strong performer, highlighting their expertise in computer vision solutions. As companies move to a more digital way of life, we've established the expertise and proven strategies to guide organizations with digital first business practices. As technology has the potential to radically transform industries, we know it's important to better understand the awareness, adoption and perceptions of these new technologies. These This drove us to commission IDG to conduct a survey of business and IT leaders on their perceptions of Computer Vision. Survey results indicated that the overwhelming majority of respondents agree that Computer Vision has incredible potential to transform key areas of business. This technology uses predictive analytics to improve security and employee safety to detect defects during production and manufacturing and improve customer experiences. For example, we recently worked with a printer ink manufacturer to use Computer Vision to count pallets with a quick snap of photos, enabling people including those with disabilities to take on greater warehouse responsibilities, while creating more accurate inventory counts. Similarly, we've helped the steel company through Computer Vision identified hazardous materials before they inadvertently land in the smelter to be recycled. I've discussed before the pandemic accelerating technology and our ability to pivot and meet clients where they are today. while helping them prepare for tomorrow has been instrumental in making us the technology partner of choice for our clients. Our success is rooted in differentiation from our competition for our company values, industry expertise, diverse dilution offerings and our ability to create meaningful connections. It is in these connections that were showcased our ability to meet client's needs for the use of multiple solutions. For example, our technical solutions designed a greenfield data center to support a client's current infrastructure. During the evaluation process, our consultants identified opportunities for the clients to modernize their out-of-date applications by utilizing our digital technology experts. Working for our client, our architecture team develops solutions that fit the environment. The data center solution includes a new hyper converged infrastructure, Dell core switches, VMware right sizing the Microsoft licensing, and networking infrastructure deployment services through the data center architecture team. The client will also benefit from Insight managed one call support services, which started off as a single solution ended up as a multi-phased approach with us providing services across our solution areas. Additionally, the client requested that we evaluate their security strategy. We believe the strategic investments we made in our go-to-market solution areas of the last several years positioned as well to execute our business goals. Our solution teams are key to achieving our long-term priorities and driving value for shareholders. Given our strong execution, bringing cloud and digital solutions to our clients, we're proud to announce we improved 49 spots and Fortune’s 2021 ranking 500 -- Fortune 500 rankings currently at number 360. We're only one of 11 providers globally to be recognized in the Gartner Magic Quadrant for software asset management services and we are in four of Microsoft's most prestigious awards after a record setting year. Before I turn the call over to Glynis, I would like to acknowledge our teammates who were recently recognized as top leaders in their respective fields. Glynis was recognized among the top 100 women leaders in technology in 2021 by Women we Admire, and also honored as one of the Phoenix Business Journal's most Admired Leaders. Our Chief Information Officer, Jeff Shumway, was named Global CIO of the Year by Arizona CIO. And 16 teammates were recognized with CRN Women in the Channel Awards, and four of those have been named to CRNs power 60 solution providers. At Insight we're proud of our commitment to embrace diverse backgrounds, appreciate diverse skill sets and respect additional viewpoints. Bracing diversity is important to our corporate culture. And our focus in this area was recognized in Forbes 2021 America's best employers for diversity. We have so much to be proud of at Insight, proud of our brand, our culture and our values and especially our team. I will now hand the call over to Glynis to review the details of our financial performance.
Glynis Bryan: Thank you, Ken. In the second quarter of 2021, we executed well against our strategic and financial priorities, posting continued growth across our business one year out from our lowest point of the pandemic in Q2 2020. We accomplished this while continuing to invest in strategic areas to scale and support our future growth. Moving on to Slide 12 and 13 to our consolidated results. Our net sales in the second quarter were $2.2 billion, up 13% in U.S. dollars and 10% in constant currency compared to the second quarter of 2020 across all categories. Gross margin was 16.4%. In light of increased hardware net sales, which compressed our margins we saw only a 10 basis points contraction, year-to-year. SG&A expenses were up 10.5% year-over-year in constant currency and 14.2% in U.S. dollars. As a percentage of net sales, adjusted SG&A was 12.1% up 30 basis points year-over-year but in line with our expectations for the quarter. As a percentage of net sales SG&A on a GAAP basis was 12.4% up 10 basis points year-over-year. For the full year we continue to expect adjusted SG&A as a percentage of net sales will be 11.7%. Adjusted earnings from operations was $97.7 million, up 6% year-over-year, compared to a 19% increase on a GAAP basis, And adjusted diluted earnings per share was $1.91 and $1.58 per share on a GAAP basis. Results for each of our operating segments were as follows. Let's start with North America operating results on Slide 14. Net sales were $1.8 billion in the second quarter up 14% year-over-year, due to increase in software licensing sales, hardware sales driven by devices, networking and storage solutions and services driven by cloud solutions. Similar to last quarter as resulted supply constraints and extended product lead times we're entering the third quarter with higher backlog. Gross positive $279 million in North America was up 14% year-over-year and gross margin was 16.8% compared to 15.9% in the prior year. North America's adjusted SG&A increased 16% year-over-year to 11.7% of net sales, driven by increases in overall teammate headcount and variable compensation due to higher gross profit attainment and also new variable compensation plans implemented January 1. S&GA as a percentage of net sales on a GAAP basis was 12.2% in the second quarter. For the full year of 2021, we continue to expect adjusted SG&A as a percent of sales will be 11.3%. Adjusted earnings from operations increased 8% year-over-year to $72 million for the quarter. On a GAAP basis earnings from operations increased 23% year-over-year at $64 million. Moving on to EMEA, on Slide 15. Net sales in the second quarter decreased 4% year-over-year in constant currency to $417 million, while gross profit decreased 2% year-over-year also in constant currency. These results were against a strong compare in the prior year or EMEA saw growth in both net sales and gross profit year-over-year. When combined with operating leverage from lower SG&A, this lead to adjusted earnings from operations of $20 million in the current quarter a decrease of 2.4 million in constant currency. Moving on to APAC on Slide 16. Net sales of 52.5 million and gross profit of $14.3 million in the second quarter increased 24% and 11% respectively year-over-year in constant currency due to higher sales across all categories. We made investments in the business resulting in a 14% increase in constant currency and SG&A and this led to adjusted earnings from operations of $5 million in the quarter up 6% in constant currency. Moving on to our tax rate, our effective tax rate for the second quarter of 2021 was 25.4% compared to 26.2% in the prior quarter, the lower effective tax that was primarily due to foreign rate adjustments, offset in part by an increase in the state income tax base. Turning to the details of our second quarter cash flow performances on Slide 17, year-to-date to the second quarter of 2021, we primarily invested in operations, generating cash flow of $5 million, compared to $498 million during the same period last year. This decrease year-to-year is due to changes in partner mix and net sales growth with our inverted cash cycle, which resulted in all cash from operations generated in the first half of 2021 compared to the first half of 2020. In addition, there were discrete items in 2020 that contributed the majority of the variance, approximately $280 million. This consisted of partner payment deferrals and a large customer advance payments in the prior year with no comparable activity in the current year and deferred and in some cases, reduced federal and other taxes to COVID-19 relief measures in the first half of 2020. We previously disclosed an expectation that cash flow from operations would normalize in 2021 as our business grows. We now expect cash flow from operations will range between $125 million and $175 million as a result of double-digit hardware growth experienced in Q2 and expected to continue in the second half of 2021. Higher inventory to support client deployments, as well as changes to the partner mix with our inverted cash cycle. In the first half of 2021, we invested approximately $17 million in capital expenditures, mainly related to technology and facility investments. We also received $27 million in net proceeds from the sale of three buildings in Tempe, Arizona, and our property in Woodbridge, Illinois. Lastly, we used $50 million, we purchased shares of our common stock, we now have remaining authorization of $75 million. The guidance we're providing does not include the impact of any additional repurchases. As of June 30, 2021, we had over $1 billion available under our ABL facility, and we have ample capacity to fund future growth. At the end of the second quarter, we had a cash balance of $108 million, of which $76 million was resident in our foreign subsidiaries. We had $484 million of outstanding debt, including our senior convertible notes at the end of the quarter, compared to prior year cash balance of $164 million and total debt of $437 million. Moving on to liquidity on Slide 18, we're exiting the quarter with a leverage position of 1.3x debt to cash flows, or EBITDA, which is well within our comfort level. Under our ABL agreements, our primary compliance covenant is a fixed charge coverage ratio, which includes trailing 12-month EBITDA coverage over capital expenditures, taxes and cash interest. As of June 30, we're at 4.5x the minimum requirement of one-time, and we're confident we can support our capital requirements and liquidity needs. Moving on to our full year guidance on Slide 19. Today, we're increasing our previously issued guidance for 2021. We expect to deliver net sales growth at the high-end of our previously stated guidance, which is between 4% to 8% over the prior year. We now expect adjusted diluted earnings per share for the full year of 2021 to be between $6.75 and $6.90, which includes an expected $0.06 impact of the share repurchase already completed. With this outlook assumes interest expense between $25 million to $28 million and effective tax rate of $25 million to $26 million for the full year. Capital expenditures of $65 million to $75 million, including the build out of brand new corporate headquarters and an average share count for the full year of 35.5 million shares. This outlook excludes the following acquisition related intangible, amortization expense of $32 million. The non-cash convertible debt discount and issuance costs reported as part of interest expense of approximately $12 million and it seems no acquisition related or severance restructuring expenses. I will now turn the call back to Ken.
Ken Lamneck: Thank you, Glynis. I want to thank our teammates across the world for not making Insight one of the best places to work but also make it as a technology partner of choice for our clients, helping them maximize AI technology today and accelerating for tomorrow. Currently, industry analysts expect high single digit growth across hardware, software and services sales, while it remains unclear how the COVID variants could impact the year. We believe we're well positioned to compete in the areas our clients need most including improving the workforce experience, modernizing their data centers, securing their critical platforms and utilizing their opportunity to go digital. In closing, I announce my retirement on my last call. The Board continues to make progress in the evaluation of internal and external candidates in the search for my replacement is a very critical search for Insight and opportunity to work with the board to identify the new CEO. I may committed to leading this team until the right successor is appointed. That concludes my comments. Thank you again for joining us today, and now we will open up your line for questions.
Operator: [Operator Instructions] Your first question is from the line of Catherine Huntley with Raymond James.
Catherine Huntley: Hi, this is Cathy on for Adam, thanks for taking our questions. Can you please talk about PC demand, specifically digging into notebooks? Are there any signs of supply catching up with demand? We have started to hear that Chromebooks specifically has slightly [been late] [ph] related in supply. And just wondering if you heard the same?
Ken Lamneck: Yes. Thanks, Catherine. Yes, definitely on the Chromebook front, there's no question that supply has caught up pretty significantly there from where it was a quarter ago. Expectations are, of course, they'll still be with the new infrastructure bills coming. Increased funding and demand but we do believe will go more towards a normal cycle in the education market for Chromebooks. But no question that there is significant more availability. For Chromebooks, not the same situation on a Windows platforms, those still continue to be more in tighter supply. Let's say it's not a panic situation, by any means. I think it's been well managed by the suppliers in regards to the IC shortages. We're seeing certainly slight increases in ASPs because of that, as well. And of course, we're very much encouraging our clients to give us more advanced lead times and bookings for that. So we're seeing that, that come into play. So certainly tight, I think it's going to be as you've seen, tight for the next four quarters, in that regard, but I think it's been -- I'd say manageable at this stage.
Catherine Huntley: Okay, thank you for that color. And then you also highlighted cloud, but can you highlight other areas of consumer spending and how they're changing as the year progresses?
Ken Lamneck: Yes, I would say that, certainly, cloud has continued to accelerate, as we've all seen in many, many areas. And we're pleased that as we mentioned, this now represents 22% of our gross profit dollars coming from these infrastructure and SaaS cloud solutions in the market. So that continues to be an area of focus and services, solutions for us. So no question that's continuing to accelerate. And you already touched that on, of course, the notebook on migration that continues to move very, very fast as well. And we're seeing the infrastructure spend start to increase, as well, as people are starting to invest into the data centers and into the private infrastructure. And then of course, security is continuing to be very, very robust, with all the things that we're seeing with the continuation of cyber attacks and so forth. So those are key areas. And then as I mentioned in my script notes, of course, all companies really becoming more digital. So we see continued acceleration, there are very, very high demand on all of our 1500, software solution, architects solutions, very, very high demand on their skills and what they're doing to really help clients modernize.
Operator: Your next question is from the line of Matt Sheerin with Stifel.
Matt Sheerin: Ken, I wanted to just follow up on the last question regarding, particularly on the hardware side, the demand situation, both from -- you talked about backlog being up bookings being up? How much of that is related to the client devices like notebooks versus infrastructure, servers, storage networking?
Ken Lamneck: Yes. Certainly, what you'll see if you look at NPD data what they'll show is, Matt is that, all the categories were up substantially in the second quarter. The only one that declined really was desktops. And of course, as you know that's been migrated more towards notebooks. But when you look at the notebook acceleration more than covered any of the decline that we saw on desktops overall. So good to see that's been going on, the notebook migration and volumes has been going up dramatically over the last year. But it was good to see the infrastructure type of spending to also start to increase from a revenue point of view, as well as very much from a bookings point of view. And of course, we're talking, networking, storage as well as servers. So that was positive to see that continuing to trend and the current booking rates are continuing in that same vein here as we as we look at Q3.
Matt Sheerin: Are you seeing supply issues on the infrastructure side of things as well?
Ken Lamneck: Yes, not nearly to the same degree, as we're seeing certainly in the notebook side of the equation, but definitely starting to see constraints there on that, as it goes through the systems, there's no question that again, encouraging our clients to give us more advanced booking rates in regards to that. But yes, that's definitely starting to impact some of that as well.
Matt Sheerin: Okay. And then, on ASP, as you talked about I think, notebook ASPs, but are you seeing ASPs increase in other areas? And is that changing the thought process for customers in terms of configuration, expanding their budgets, that sort of thing?
Ken Lamneck: Yes. Most of the ASP increase, I think have -- mostly occurred on the notebook front, I think we'll see another, maybe 1% increase, here in Q3 in that space. But pretty small increase in APSs. And then for the most part, it's really been, a little bit of increases on the infrastructure side, again, depending upon the supply constraints, and obviously, their costs are going up. But I'd say it's pretty minimal at this stage, as far as seeing those kind of -- any kind of ASP increases on the infrastructure side has been pretty minimized.
Operator: Your next question is from the line of Vincent Colicchio with Barrington Research.
Vincent Colicchio: Nice quarter, Ken. In what areas of the business are you experiencing the most wallet share gains?
Ken Lamneck: I say as far as what we're seeing the share gains, again, in the areas that are -- that we're very focused on is in the area of helping our clients [indiscernible] transform. So all aspects of that were really and again, our complication there primarily, really is the centers of the world. That areas -- those are really our primary competitors in that space Capgemini, those types of -- not our traditional competitors, that you're used to. So that area continues to certainly accelerate. Associated with that, as we're helping our clients in that space, of course, is leading to cloud transformation with our clients as we help to modernize. So that, again, continues to grow very nicely as I mentioned, now, it's point 22% of our gross profit dollars coming from the cloud. So that along with the associated services are very, very big. And then, I'd say, the security aspects, as I mentioned earlier, continue to accelerate. So those are these very key areas.
Vincent Colicchio: And what do you think we are in the public sector and education cycle? It's been strong for quite some time. Is this -- do you think it's going to wind down at some point in the near future?
Ken Lamneck: Yes, I mean, there's no question, you saw the robustness of Chromebooks, and just by looking at the amount of supply that has caught up, I think would indicate that, there'll be I think, more of a moderation. And I think you'll get some more of a normal sort of cyclical pattern here as the past year, there were amazing amounts of Chromebooks sold into the education market. So I would definitely expect that that would start to cool off to some degree. But you will see that, will operate from a new base level of Chromebooks than we did before, but certainly, I wouldn't expect the kind of acceleration we've seen over the last three quarters there on the Chromebook side.
Operator: [Operator Instructions] Your next question is from the line of Anthony Lebiedzinski Sidoti & Company.
Anthony Lebiedzinski: I joined the call pretty late. So I apologize if I asked questions that you may have already answered. But looking at the back half of the year, just how should we think about the gross margins? Just wanted to get a better sense as to how should I think about that.
Glynis Bryan: Hi, Anthony. We said at the start of the year that we anticipated that our gross margins would be flat to slightly down as hardware grows. Hardware is going to be continuing to grow in the second half of the year. We were at 16.4% and that was down 10 basis points versus prior year in Q2, which did also include some hardware growth. So I would say we're still on track to kind of end up flattish to slightly down from our gross margin perspective, for the full year.
Anthony Lebiedzinski: Great. Thank you. And then, I'm just wondering, have you seen any changes lately in terms of your customer buying patterns, given the Delta variants that are out there? And whether, that could impact as far as it seems like some companies at least have talked about the delaying when people get back into the offices? And so as that happens, just wondering, how should we think about the potential impact on your business?
Ken Lamneck: Yes. So the Delta variant, and of course, there'll be other variants coming, I'm sure. As well, we haven't seen the impact, I think people have really become pretty resilient and adjusting to this new situation. So we haven't really seen that, certainly the U.S. isn’t far better shape than other parts of the world. But when we look at our business in APAC, which, of course, is under a little bit more severe, lock downs, when you look at Australia and New Zealand, as they try to get to higher vaccination rates. We really haven't seen that business decline at all, they had a very, very solid quarter, as you saw in our results in APAC. Europe, again, closer to where the U.S. is, but still having some issues on the variant. But, the markets are open, but we definitely haven't seen any kind of change or a pullback in that regard. I think, as we know, most of the governments are trying to keep businesses open a lot more than they did, certainly last year at this time. So far, Anthony but we're watching that closely.
Anthony Lebiedzinski: Got it. Okay. And can you just also talk about broadly about performance of your different vertical markets. I know you touched a little bit on education, but anything else as far as what you're seeing in terms of the other vertical markets?
Ken Lamneck: Yes. I think when you look at healthcare and starting to certainly rebound from some pretty depressed levels last year. I would say that the hospitality industry, including hotels, airlines, cruise lines, starting to certainly repair, but certainly not back to where, we'd see in 2019, but certainly up from where they were last year, as there's hope and expectations for many of them that, people will start cruising again. And, but that I think, is increasing, but not nearly to the level of 2019. But everything we hear and as we discussed with these clients that they do anticipate that to improve, certainly, significantly over the next couple of quarters. When you look at the manufacturing sector, I think you see what's occurring there, that's been pretty well, on good footing. So we see consistent growth there. Finance, vertical, which is a big vertical, of course, for IT continues to do well. I think they've navigated, pretty well throughout the pandemic, and we start to see that start to more open up. But I think there's no question that people get back more into offices, which the expectation was that would start to occur here in the early part of the fall. And now the fact that could be pushed out a little bit, I think that will also lead to some acceleration once that gets on better footing. But overall, I'd say as Glynis comment, in her notes, there was the fact that we certainly do expect you to be at the higher range of our guidance of 4% to 8% growth for the year.
Operator: Thank you. At this time, ladies and gentlemen, that concludes our Q&A session. We do thank you for participating in today's call and ask that you now disconnect your lines.